Guilherme Paiva: Good morning, ladies and gentlemen, and thanks for standing by. As a reminder, this conference is being recorded. Its broadcast is intended exclusively for the participants of the events and may not be reproduced or retransmitted without the express authorization of Embraer. This conference call will be conducted in English, but please let me say a short announcement for Portuguese speakers. [Foreign Language] My name is Gui Paiva, and I'm the Head of Investor Relations, M&A and Venture Capital for Embraer. I want to welcome you to our fourth quarter of 2025 earnings conference call. The numbers in this presentation contain non-GAAP financial information to help investors reconcile Eve's financial information in GAAP standards to Embraer's IFRS. We remind you Eve's results will be discussed at the company's conference call. It is important to mention that all numbers are presented in U.S. dollars as it is our functional currency. This conference call may include statements about future events based on Embraer expectations and financial market trends. Such statements are subject to uncertainties that may cause actual results to differ from those expressed or implied in this conference call. Except in accordance with the applicable rules, the company assumes no obligation to publicly update any forward-looking statements. For detailed financial information, the company encourages reviewing publications filed by the company with the Brazilian Comissao de Valores Mobiliarios or CVM [Operator Instructions] Participants on today's conference call are Francisco Gomes Neto, President and CEO of Embraer; Antonio Carlos Garcia, Chief Financial Officer; [ Baltasar de Sousa], Corporate Communications Manager; and myself. This conference call will have 3 parts. In the first part, top management will present the company's Q4 results. In the second part, we will host a Q&A session only for investors. And last but definitely not least, in the third part, we will host a dedicated Q&A session only for the press. It is my pleasure to now turn the conference call to our President and CEO, Francisco Gomes Neto. Please go ahead, Francisco.
Francisco Neto: Thank you, Gui, and good morning and good afternoon to everyone. It is a pleasure to be here with you to share Embraer's fourth quarter and full year 2025 results. 2025 was a remarkable period for our company. We met our deliveries guidance on the operational side, while we outperformed the expectations on the financial side. This performance reflects a longer trend. Embraer has been able to deliver 2 digits of revenue growth over the past 3 years despite the supply chain challenges. 2025 was also a marquee period for the E2 program with strong sales across all continents, which has consolidated further the E2 platform as a benchmark in the small narrow-body segment. At the company level, our record revenue and backlog provides strong visibility to investors about our ability to deliver sustainable growth for many years to come as we have robust processes and governance in place. We have made significant progress across the production chain through closer collaboration with suppliers, process digitalization and investments in artificial intelligence tools. The production level initiatives have now been extended across all our platforms, and they should help support production stability in 2026 and onwards. We are well positioned in strategic markets, supported by partnerships under discussion with global players in India, Mahindra and Adani Group and in the U.S., Northrop Group. These partnerships reinforce our strategic position and support long-term growth potential across both our Commercial Aviation and Defense segments. To conclude, all our business units are performing very well with solid execution and bigger backlogs. During the quarter, we saw a strong sales momentum across all business units. In Commercial Aviation highlights included new orders from TrueNoord for 20 E195-E2s, Helvetic Airways for 3 E195-E2s as well as 4 E175 orders from Cote d'Ivoire. In Executive Aviation, revenues reached an all-time high of circa $750 million as we delivered 53 business jets, the highest number ever in a single quarter. In Defense & Security, we reinforced our global footprint with Sweden's order for 4 KC-390 plus 90 options. And Portugal signed a 6 aircraft order along with 10 options for NATO countries. Finally, in Service and Support, we signed an E195-E2 pool program with Airlink and the maintenance service extension with the Republic for its E1 fleet. Let me now walk you through our sales performance for the full year. During the 12 months, Commercial Aviation recorded 157 E2 new orders across all continents, plus 140 options. In addition, the E1 program reinforced its market position with 64 new orders plus 68 options. These achievements increased the division's backlog to $14.5 billion with an impressive 2.8:1 book-to-bill ratio. In Executive Aviation, total sales reached approximately $2.3 billion, supported by strong demand across the portfolio, including the continued success of the Phenom 300, now the world's best-selling light jet for 14 straight years. The backlog in the division now stands at $7.6 billion, supported by a consistent 1.1:1 book-to-bill ratio. Defense & Security achieved another strong year with 5 KC-390 aircraft sold to 2 NATO countries, plus 19 additional options and 10 A-29 Super Tucanos sold to Uruguay, Panama and Sierra Nevada. The business unit closed the quarter with a $4.6 billion backlog and a 1.4:1 book-to-bill ratio. Finally, in Service and Support, the sales momentum remained strong. During the year, the program added approximately 75 aircraft and the Executive Care program signed another 37 new contracts. As a result, the business unit finished the quarter with a $4.9 billion backlog and a 1.2:1 book-to-bill ratio. Together, these results drove a consolidated 1.7:1 book-to-bill ratio for Embraer in 2025. I will now move on to our operational results for the year, and my comments will reflect year-over-year comparisons. In Commercial Aviation, revenues increased by 7%, driven by higher volumes. The adjusted EBITDA margin improved from 2.5% to 2.7%, supported by lower expenses. Executive Aviation, revenues increased a significant 25%. The adjusted EBITDA margin increased from 11.7% to 12%. The gains recorded from higher volumes, pricing and operating leverage more than offset the negative impact of U.S. tariffs. Moving to Defense & Security. Revenues grew 36%, mainly because of higher KC-390 and A-29 Super Tucano volumes. The adjusted EBITDA margin improved from 6.2% to 7.9% as a consequence of operating leverage and client mix. In Service and Support, revenues rose 18%, driven by higher volumes and the ramp-up of the OGMA GTF engine shop. Adjusted EBITDA margin decreased from 16.5% to 15.5%, mainly because of the ramp-up of new operations. Before I conclude, I would like to share a brief update on EV's steady progress. The first flight of EV's eVTOL prototype in December 2025 marked an important milestone. Since then, our full-scale prototype has run 28 missions for a total of more than 1 hour in over flights. The program continues to advance through flight tests towards certification in 2027.
Antonio Garcia: Thank you, Francisco. Good morning and good afternoon to everyone. I'd like to start by highlighting that despite a year marked by challenges and volatility, the company remains focused on disciplined execution, delivering results in line with its commitments. Let's now take a closer look at our financial results for the fourth quarter and full year 2025. All my comments will be based on year-over-year comparison unless otherwise noted. Turning to next slide, I will start with deliveries. In the last quarter, Embraer delivered 91 aircraft, 32 commercial jets, 53 executive jets and 6 defense related. This represents a 21% increase with Commercial Aviation deliveries up 3% and Executive Aviation up significant 20%. More importantly, for the full year, we delivered 78 jets in Commercial Aviation for a 7% increase and in line with our 77 to 85 aircraft guidance for the period. Meanwhile, in Executive Aviation, we delivered 155 jets, up a relevant 20% during the period and at the high end of our 145 to 155 aircraft guidance for the year. In Slide 12, backlog and revenue. Our company-wide backlog reached $31.6 billion during the quarter, up a significant 20% and higher than our previous record. The backlog for Commercial Aviation and Defense & Security increased plus 42% and plus 10%, respectively, for support plus 7% and for Executive Aviation plus 3%. In addition to our firm backlog, we currently have approximately $20 billion in options held by our customers. These are not included in our backlog, but they represent a meaningful upside potential over the coming years. As these options are exercised, they could support a significant expansion of our backlog, potentially profit towards $50 billion over time. Beyond the size of the backlog, it is also important to focus on its quality and overall composition. The current backlog reflects a more attractive customer mix, which positions the company for a more favorable firm margin profile perspective over time. Any financial impacts from this mix will continue to depend on execution, delivery phasing and external factors. Moving on to revenues. Our top line increased 15% and almost reached $3 billion in Q4 '25. From a business perspective, our revenue remained well diversified across segments. Commercial Aviation accounted for 37%, Executive Aviation, approximately 30%, Service and Support around 20%; and Defense & Security 13%. Our top line of $7.6 billion for the full year was above the high end of our guidance, an increase of plus 18% when compared to 2024. Moving to the next slide, please. We generated $298 million in adjusted EBITDA in Q4 '25 with an 11.3% mark and $889 million in the year with an 11.7% mark. compared to 12.1% margin a year ago if we exclude the onetime impact of the Boeing agreement. Slide 14, adjusted EBIT. Now adjusted EBIT was $231 million for the quarter with an 8.7% margin compared to 11.5% in the same period a year ago. As we highlighted in our last earnings call, we expected a relevant impact from U.S. imported tariffs in Q4. In addition, we faced additional infrastructure-related costs, which weighed on margins. Tariffs totaled $27 million during the period and nonrecurring infrastructure costs reached $20 million. For the year, we generated $657 million with the same 8.7% margin, in line with last year if we exclude the onetime Boeing gift and surpassing the upper end of our 8.3% guidance for 2025. This performance was achieved despite the impact of U.S. import tariffs and reflects our discipline in our ongoing cost reduction initiatives and efficiency gains. Let's move now to the next slide. Embraer generated $738 million in adjusted free cash flow in the quarter, mainly supported by operations, higher number of aircraft delivered and sales campaign. For 2025, we generated $491 million in adjusted free cash flow and helped the company to cover on average close to 60% of its EBITDA in free cash flow over the past 3 years. The 2025 figure compares to $676 million in 2024, which includes a one-off $150 million inflow related to the Boeing agreement. We exceeded our guidance of $200 million or higher, supported by our continued efforts to reduce working capital requirements. Looking now at our investments, excluding Eve, we allocated almost $100 million during the quarter. The figure includes $27 million in CapEx, $34 million in addition to intangibles, $12 million in the Pool program to support new contracts and $27 million in research. On a yearly basis, Embraer stand-alone invested a total of $383 million in 2025, 10% lower compared to $428 million in 2024. Our capital allocation continues to be geared towards segments with higher returns, such as Executive Aviation Service and Support, mainly in U.S. We continue to see our CapEx run rate at close to $400 million per year in the near future. In Slide 16, adjusted net income. Our adjusted net income was positive $153 million for the quarter, supported by a 5.8% adjusted margin compared to 7.5% in the same period last year. Meanwhile, we ended the year with $253 million in the adjusted net income compared to $461 million in the prior year. We finished the year with a 3.3% adjusted margin. It was lower than 7.2% recorded in 2024. I would like to emphasize the decline was mainly driven by the onetime $150 million impact from the Boeing agreement, less favorable net results and U.S. import tariffs. Turning to next slide, let me walk you through the financial bridge from our reported EBIT in 2025 to both reported and adjusted net income. We finished the year with $608 million in EBIT after accounting for $340 million in net financial mainly inflated by the mark-to-market gains of our share price in our stock-based compensation plan, $91 million in tax credit and $7 million in minority interest. We arrived at $352 million in reported net income. To arrive at adjusted net income, we exclude extraordinary items. These adjustments included a negative $137 million related to deferred taxes, which was partially offset by a positive $38 million from [indiscernible] results. With that, we get $253 million in adjusted net income for the year. Looking at the evolution of our earnings per share, we have seen solid sequential improvement over the past few years. EPS was negative $0.2 per ADS in 2021, improved to $1.4 per ADS in 2024 if we exclude the one-off related effect and reached $1.9 per ADS in 2025. This trajectory highlights the structural improvements in profitability and the progress we have made in strengthening the company's earnings profile over the past few years. In Slide 18, financial position. We continue to strengthen our balance sheet throughout the year. And as a consequence, our liquidity position has increased significantly our stand-alone net debt decreased by $220 million, reaching a net cash position of $109 million at the end of 2025. The solid position of our balance sheet ensures the company remains well prepared to navigate potential volatility ahead. Consequently, our leverage position, excluding if improved further from 0.1x net debt to EBITDA to 0.1x net cash to EBITDA by the year-end. As a reminder, in the third quarter, we announced a new liability management initiative, which was fully executed. The average maturity of Embraer debt without Eves increased to 9.1% from 3.7 years, significantly improving our debt maturity profile. Today, 96% of our debt is long term, which provides us with financial flexibility. Importantly, these actions also led to a reduction in our average cost of debt, which declined to 5.5% from 6.2%, further strengthening our financial profile. Slide 19, shareholder remuneration. We declared a total of BRL 568 million in 2025 in shareholder remuneration, combining interest in equity and dividend. This amount corresponded to BRL 0.78 per share and represents a dividend yield of approximately 0.9%. As a reminder, this distribution should be complemented by an additional dividend to ensure compliance with the minimum 25% net income distribution required under the Brazilian corporate law. The full amount will be paid in a single installment following our 2026 Annual Shareholders Meeting. Slide 20, guidance. Before I present our 2026 guidance, I would like to remind you, Embraer has delivered its financial estimates year in and year out since 2021, reflecting a disciplined approach to planning and execution. Now to conclude my presentation, let me go over the details of our 2026 guidance. In terms of operations, we forecast Commercial Aviation should deliver between 80 and 85 aircraft. Meanwhile, for Executive Aviation, we forecast 160 to 170 jets, representing a year-over-year increase of approximately 6% in both segments based on the midpoint of the range. Turning to financials. We forecast a consistent double-digit growth. We estimate top line to settle between $8.2 billion and $8.5 billion, with the midpoint of the range, 10% higher than what we generated last year. We forecast EBIT margin between 8.7% and 9.3% for the year, which would imply around $750 million at the midpoint of the range and approximately 15% higher than the adjusted $657 million EBIT generated in 2025. Finally, if we move to free cash flow generation. We estimate an adjusted free cash flow without Eve of $200 million or higher for the year. Remember, our midterm goal is to convert 50% of our EBITDA in free cash flow. If we look from 2024 to 2026, we should generate circa $1.4 billion or more in free cash flow, which is 50% of circa $2.8 billion implied EBITDA by our 2024 and 2025 and our 2026 guidance. It is important to highlight this guidance reflects our assessment of the operating environment prior to February '20 before the latest round of changes to U.S. import tariffs. We are taking a conservative approach at this point in time because of decreased policy uncertainty and prefer to wait for additional visibility before making any changes to our outlook. We will update or reiterate our 2026 guidance on a quarterly basis as the year goes by. Let me stop here, and now I hand it back to Francisco for his final remarks. Thank you very much.
Francisco Neto: Thank you, Antonio. To conclude, 2025 clearly marked the consolidation of our strategy across all businesses. In Commercial Aviation, record orders supported the consolidation of the E2 platform as they reinforced its global relevance and provided long-term visibility for the business. In Executive Aviation, strong retail and fleet demand supported by higher delivery volumes reflected the strength of our portfolio, which was further reinforced by the recent announcement of the next generation of the Praetor 500E and 600E. In Defense & Security, we continue to advance KC-390 campaigns globally, including key strategic opportunities. In Service and Support, the growing footprint of our operations is strengthening our ability to generate recurring revenues. Our continued focus on driving efficiency and financial discipline across all areas of the company is paying off as our best-in-class operations and services that support our customers. Looking ahead, we expect substantial growth over the midterm, while we prepare the company for a more ambitious long-term expansion, supported by a new generation of products and technologies, always grounded in our culture of safety first and quality always. With that, I would like to move on to the Q&A session.
Operator: [Operator Instructions] We remind you again, this conference is being recorded. This broadcast is intended exclusively for the participants of this event and may not be reproduced or retransmitted without the express authorization of Embraer. We also highlight this conference call is being conducted in English with translation to Portuguese. Please let me say a short announcement for Portuguese speakers. [Foreign Language] [Operator Instructions] The first part of the Q&A session will be exclusively for equities research analysts and investors. The second part of the Q&A will be only for the press. The first question comes from Marcelo Motta with JPMorgan.
Marcelo Motta: The question is regarding the strategic partnerships that the company have been announcing. So just wondering if you can provide us an update on the stage of it once in India for the commercial and for the defense and also in the U.S. for defense.
Francisco Neto: Thank you, Marcelo. Francisco speaking. Good question to start the Q&A today. So yes, we are focused on strategic partnerships to support long-term growth for Embraer. And the 2 main ones are India, where we have been working 2 fronts, the MTA, mid transportation aircraft with India Air Force that we've been working for a few years already and a more recent partnership, this one with Mahindra. So we expect an RFP from the customers still this year. And the second one is with the Adani Group is to focus on the executive civil aviation to improve connectivity between smaller cities in India. Both opportunities can bring a relevant business and potential growth for Embraer. So again, defense, we expect RFP for this year. And civil aviation, we are still building the case, but we have said that if we get orders still in 2026, can do the rollout of jets by 2028 in India. In the U.S. -- sorry, thank you, Antonio. In the U.S., we are -- we announced recently the partnership with the Northrop Grumman to develop the boom capability for the C-390 as an option for -- to complement the tanker fleet of U.S. Air Force with our KC-390. This we don't have a time line defined it, but we are working very hard. We recently took the KC for demonstrations in the U.S.
Operator: The next question comes from Kristine Liwag with Morgan Stanley.
Gabrielle Knafelman: This is Gaby on for Kristine. Just a follow-up on the Northrop Grumman partnership. On the partnership around adding BOM capability to the KC-390, could you provide any more detail or color on the structure of the partnership and how responsibilities are being split strategically, how significant is adding a boom for the KC-390s competitiveness, particularly in the context of [indiscernible]? And how should we think about the potential size of the opportunity over time?
Francisco Neto: Thank you for the questions, Kristine. So at this point, we have signed an MOU with Northrop Grumman and the main focus is the collaboration to enhance the capabilities of the KC-390 Millennium focusing on the integration of an autonomous boom refueling system and agile combat employment solutions. This is designed to meet the future needs of U.S. Air Force and allied nations, not only U.S. We don't have a time frame defined yet, but the main purpose is really to engage this discussion with the U.S. Air Force and have the KC-39 to complement the fleet they have. We don't see this collaboration, our strategy is based on the premise that it does not compete with the KC-46 or any other strategic tanker, but rather, it's a complementary capability. And our intention, if we get a sizable order, this aircraft will be assembled and produced in the U.S. We don't know the size yet, and we don't have a clear view about time frame, Kristine.
Gabrielle Knafelman: Great. And just a quick follow-up, if I can. Can you just provide a quick update on the supply chain environment across both commercial and Executive Aviation? What are the major constraints you're still seeing? And what areas have you seen improvement in?
Francisco Neto: Last year, we face some issues in supply chain, but even then we -- as a company, we were able to overcome the issues and deliver the aircraft in the year. This year, we see the supply chain improving, but it's still with a few bottlenecks that we want to be even more proactive this year than we were last year to anticipate all the issues and act with greater effectiveness. And we have started doing that already in January. And yes, we are -- I'd say, we are monitoring the situation, but we are positive that this year is going to be better than last year.
Operator: [Operator Instructions] The next question comes from Myles Walton with Wolfe Research.
Myles Walton: Great. I was hoping you could touch on the margin outlook by segment, maybe just a little bit more color below the surface. Pretty good to have margin expansion. I think service and support probably going against you. And I think I heard that the tariffs are in the guidance, and I would imagine those would be incremental year-on-year given a full year of effect. So maybe just talk to what the margins would be without tariffs? And then also any color of where the uplift is happening within the segments?
Guilherme Paiva: Myles, thanks for the question. This is Gui. I think one way to kind of think about the outlook for margins is to account that last year, we paid $54 million in tariffs. And we are carrying over around 2025 from inventory into '26. So if you adjust for that, we are probably looking for something close to 75 to 100 basis over time as both of them unwind. And...
Antonio Garcia: Myles, it's Antonio speaking. Just to complement, I would say, overall picture, we -- if you see what we have reported and the trajectory that we are right now and the huge impact on tariffs was in Executive Aviation, and we delivered the same number we delivered last year and percentage-wise, which means it doesn't matter if you have tariffs or if we have a crisis, we always find a way to compensate. And I would say, if we take service and Executive Aviation is already on double-digit space on the margin profile, and we are moving towards defense, I would say, it's up to speed also to go also to double digit, I would say, then we keep on our challenge here with Commercial Aviation to move to mid-single digit. I would say, on a consolidated level, we are coming closer to double-digit EBIT margin for this company here.
Myles Walton: Okay. Great. And then maybe just one other one on cash flow performance in the fourth quarter. Is this similar to last year where some of the defense orders came through with higher advances? Or were there other attributes driving the performance?
Antonio Garcia: I would say, some effects. We -- for sure, we have -- we delivered more than 90 aircraft in Q4. That's -- and especially in commercial aviation, where the -- when we deliver, get more cash than compared with the others because of the size of the advanced payment and by delivery, we get more money. I would say 2, 3 effects, a lot of deliveries concentrated in Q4. And luckily, we got some final anticipation and advanced payment from defense customer, if you -- and to be honest, also nice sales campaign in December on Executive Aviation, I would say, some up altogether, we brought this nice development in Q4. You know that it's hard for us to predict. That's why you see the guidance 200 plus again, but it was more or less the same as happened in 2024.
Operator: The next question comes from Noah Poponak with Goldman Sachs.
Noah Poponak: Just wanted to follow up on the delivery projections and profile here. I know at commercial, you've talked about getting back above 100. I hear you -- it sounds like supply chain is still a bit of a hurdle. I guess it's a little surprising to see the low end of the guidance pretty much flat. Maybe you could just talk about the hurdles left to get back to 100, when you think you can get there? And then on the executive side, similar question. I know you've talked about potentially expanding capacity to get to 200 there. What's the latest thinking and time frame to get to those types of numbers on the executive side?
Francisco Neto: Thank you, Noah. Francisco speaking. Yes, I understand your point, but we are very focused this year to be from the mid to the high end of the guidance in terms of commercial aviation deliveries. And I said before, we believe we are better prepared this year with the supply chain to get there, while we are preparing the ground to reach 100 aircraft probably in 2027. We are working in that direction and not confirmed yet for sure, but we are working in that direction to create capacity to be there by '27, maximum 2028. We believe 2027 will be feasible. Same on the Executive Aviation. We are working in 2 fronts. We are expanding capacity in some bottlenecks of the production. We have been doing that already for a couple of years, while we work on improving efficiency in our production lines. So now we produce one Praetor or one Phenom in half of the time that we used to do back in 2021. So we are moving -- I'd say we're moving fast to reach those targets, production targets in the next years.
Antonio Garcia: And we have orders for that.
Francisco Neto: And we have order for that with the best news, right? Yes.
Noah Poponak: Okay. Great. And how does the rate of growth in services that you've embedded in this initial 2026 guidance, how does that compare to what you saw in 2025?
Antonio Garcia: We -- Noah, this is Antonio speaking here. It's nice to talk to you again. We are seeing Service and Support -- Service and Support also in the double-digit space in regards to growth, I would say. And to be honest, it's growing faster than the aircraft division because we have other contracts as well. And that's why we see even a fast speed growth for Service and Support comparing to -- with the aircraft delivery on the other 3 segments. I would say, more than double digit for Service and Support to move forward for the next 2, 3 years.
Operator: The next question comes from Lucas Marquiori with BTG Pactual.
Lucas Marquiori: I just wanted to follow up on the tariff discussion and actually try to understand what's the situation there. I know there's different sections of investigations and that, I mean, our latest understanding was that this is 0 now. I just wanted to confirm that. And for how long should it remain that way? Or what's the bureaucratic there that we need to see happening for that to change? And also, if there is any difference in tariffs for Embraer versus its main rivals or its main peers, if there's any kind of a dislocation of competitiveness or actually an improvement in competitiveness because of the 0 tariffs right now. Just wanted to hear your thoughts on that one.
Francisco Neto: Lucas, thanks for your question. Well, first, yes, we confirm that all Embraer aircraft engines and parts are exempt from the 10% tariffs as of February '24. Yes, we still have some inventory that we paid the tariff in U.S. inventory, but we'll deal with that during the year, and this is already included in our projections. Of course, we welcome the level playing field in our industry since Embraer was the only manufacturer to pay tariffs on aircraft exports before. And this outcome will benefit our U.S. customers. So airlines, they can renew -- they can keep their plan to renew their fleet of jets, and we'll keep buying a lot of U.S. parts because more than 40% of our aircraft has a U.S. content. So I think the decision was very positive and it will benefit not only Embraer, but U.S. customers and suppliers as well. What was the -- how long this will take, this question?
Antonio Garcia: 232, 301.
Francisco Neto: We expect this to be a long-term decision. And about the sections, 232, 301, we are now monitoring the topics very closely and while we keep focus on our regular business. But so far, we don't expect any big changes, but this geopolitical situation is a little volatile. But let's see, we are now very optimistic that this will remain, and we will continue to reinforce our position and the aerospace industry position in the U.S. as well.
Antonio Garcia: And Lucas, Antonio speaking here. We did -- we ran an assessment and we came to a conclusion. It's too early to bet to stay or is going to revert in another section here. That's why when you see our guidance profile, as of today, we see more upside than downside because we are not paying tariffs. But we have to wait because we don't want to -- it could be very complicated and volatile as we are seeing the word every single day.
Operator: The next question comes from Alberto Valerio with UBS.
Alberto Valerio: I would like to talk about the orders for the year. What should we expect? We should expect 1x book? Or do you think that it could be even more, but the guidance of commercial and executive is still having some supply issues on it included?
Antonio Garcia: Alberto, Antonio speaking. You asked about our expectation for new sales company or just...
Francisco Neto: I didn't get your question.
Alberto Valerio: Exactly, exactly. So what should we expect in terms of book-to-bill for the year, if it will be one time or if we can expect a little bit more than the guidance, for instance, [indiscernible] on the commercial jets because you have still some supply issues for the year?
Francisco Neto: Well, first of all, Alberto, I mean, we had stellar year last year in terms of sales of E2, right, 157 new sales plus 140 options. This brings a lot of confidence in the platform for the future, and we keep selling the E1s as well. For this year, as I said before, we are preparing to increase our production output for E-Jets for the next years. So we expect this year -- we are working in various sales campaign, and we expect the book-to-bill again above 1:1 for this year in terms of sales. And I mean, supply chain, as I said before, we are working now this year, again, very, very close to the supply, especially the pacers in order to mitigate the issues, delivery this year, the guidance, we expect from mid to high end of the guidance and prepare the company to increase the production in the following years for E-Jets.
Operator: The next question comes from Andre Mazini with Citi.
André Mazini: So 2 questions. The first one around defense and geopolitics, of course, that's a hot topic. So will it make sense to accelerate defense applications for Eve? Would that increase LOIs, predelivery payments and even get maybe to breakeven faster? I know Eve have their own earnings call, but I think it's pretty important for Embraer as well. So I wanted to hear your thoughts on that. This is the first one. The second one about the buyback program just announced. If you can read it, the buyback program as meaning that over the next 12 months, right, the duration of the program, you prefer to allocate capital in Embraer stock rather than going for a large new programs such as a new airframe and et cetera? And more generally, how do you think about the trade-offs of buyback, plowing money back into the company and new development -- plowing money back into buybacks, right, or new developments on aircraft, airframes and whatnot?
Francisco Neto: Thanks, Andre. I answer number one, and then Antonio and Gui will answer number two. So Eve now, we are very focused on the certification process of the Eve, the product we have, the EV 100. And I know they are discussing all the opportunities. But at this point of time, they are really focused on the certification of the program until the end of 2027. I think for more questions, I recommend you to go to the Eve presentation, they will give you more details.
Antonio Garcia: And Antonio speaking. In regards to the buyback, it's quite simple. We -- if you see the material fact issue, we are considering to replace the equity swap we have in the market. Basically, what we are doing are just changing, reducing the active swap into share from the treasury in order to hedge our long-term incentive program. It's going to be much more faster than 12 months, probably going to take 1 or 2 days to be concluded. That's more or less -- we are not increasing the shares, just changing from active swap to a share buyback. And we do not -- today, the company does not do this buyback in regards to total shareholder remuneration just to hedge the long-term incentive plan.
Guilherme Paiva: And also just to complement, the company continues to invest heavily on the businesses that we have the higher ROIC, and that includes Executive Aviation and services.
Operator: The next question comes from Luiza Mussi with Safra.
Luiza Mussi Tanus e Bastos: Just a follow-up question because we saw some media reports yesterday indicating that India actually has opened a bid for like 60 units from military aircraft and the total contract value will be $11 billion. I mean, could you share like your perspectives on this deal in terms of how you expect the competitive dynamics to evolve? And how could you differentiate yourself like from the other competitors?
Francisco Neto: Luiza, thanks for the question, Francisco speaking. We are very excited about this opportunity because we believe we have the best value proposition for India with our product, the [ KC-390 ]. It is very competitive, very modern, exactly for that segment. And we have also been working with Mahindra with a lot of activities to be compliant with Made In India expectations from them. So again, we are very excited and working very hard to win that business. That will be a very important step for the KC program. So yes, this is -- the original plan was from India is to buy from 40 to 80 aircraft. So 60 is the midpoint. And yes, this will generate billions of dollars in terms of revenue opportunity.
Operator: The next question comes from Lucas Laghi with XP Investments.
Lucas Laghi: Two quick follow-ups. First one on the Services division. I mean, margin performance is very strong. Just trying to understand what has been the main drivers this quarter. I mean you mentioned materials, for example. Just trying to understand if this -- I mean, should you continue to work with 20-ish percent EBIT margin going forward? I mean is this assumption that we should guide for -- in the upcoming years? And a follow-up on the guidance for 2026 regarding -- still regarding the margin. But I mean, we estimate around $90 million of EBIT impact considering a 10% tariff, which you mentioned that you included as an assumption for your guidance. So just to understand if that is the level of impact that we could consider as an upside given that you are -- I mean, merged in a current 0% tariff environment. So just to understand the size of the upside potential regarding EBIT for this year in this tariff topic.
Antonio Garcia: Lucas, this is Antonio speaking. Thanks for the nice question. To be honest, I would love to take the 20% margin for Q4 for Service division and move forward, but not now. What's happened in Q4, we have a lot of bad guys throughout the year and then has been compensated in Q4 also with compensation for suppliers, this and this. That's why we see this nice 20% margin in Q4. For sure, we are not happy with 15%. We are moving towards a bigger number, but I would say, for your assumption here, 15%, 16% is okay to move forward. But we do see improvement, but not in the pace that we should assume already for 2026. And for the tariffs, I would ask Gui.
Guilherme Paiva: So I think for 2025, we paid $54 million. And as I mentioned, we have about $25 million in inventory. So you can use that $80 million as a good proxy. But we're going to unwind that in '26 and in '27, right, because the inventory impact will hit us in '26 and will be only unwound in '27. So I would expect 2/3 of the benefits to come in this year if the status quo is maintained for the tariff, and we hope it does, with the balance 1/3 being upside for '27.
Operator: Our next question comes from the chat and is from Andre Ferreira with Bradesco BBI. Congratulations on the results. The guidance assumes tariffs. So to confirm, if it is exempt, is there upside to the margin numbers? Would that translate in any way to the delivery guidance as well?
Guilherme Paiva: Andre, thanks for the question. I think we just answered that with Lucas in the previous question. So let's move on to the next, please.
Operator: The next question is also from the chat with -- it's from Kristine Liwag. Following up on the supply chain question, there's a public dispute between Airbus and Pratt about engine deliveries. For your commercial delivery outlook in 2026, how much conservatism is built into your assumption? And is Pratt able to support?
Francisco Neto: Thanks for the question. Yes, I think as I said before, we have some bases that we are working on very closely in 2026. But I mean, we have been working in a very collaborative way with our suppliers, I mean, trying to help each other. And again, we are very confident that we will deliver the aircraft we are planning for the year, and we don't have any big issues with Pratt this year. They are doing that.
Operator: Thank you very much. This concludes the question-and-answer session for equity research analysts and investors. Now we will start the Q&A session dedicated to the press. First, we will answer questions in English and then we will answer questions in Portuguese. We will also answer questions sent via the platform chat. [Operator Instructions] The first question comes from Pablo Diaz.
Unknown Analyst: Can you hear me?
Francisco Neto: Yes, we can.
Unknown Analyst: Just wondering about the joint venture with Adani in India and the new line -- production line for the E175. Wondering if that production line is going to be focused on the E1 and if there is any possibility for that line to later migrate to E2 providing the certification process is retaken.
Francisco Neto: Pablo, thanks for the question. At this point of time, we have -- we don't have a joint venture yet. We have signed an MOU with Adani to explore the opportunities in this civil aviation. And at this point of time, focus on the E175 E1.
Operator: The next question comes from Curt Epstein with Aviation International News.
Curt Epstein: I was wondering if you could detail the impact on your Executive Aviation division by the tariffs over the past year.
Guilherme Paiva: I think the easy way to think is that out of the $54 million that we paid in '25, about 80%, 85% of that was in our Executive Aviation division.
Antonio Garcia: For 9 months.
Guilherme Paiva: Yes.
Antonio Garcia: Starting April onwards. And for the whole year, should be something like $60 million to $70 million, but today, you are back to 0, Curt.
Operator: This concludes the question-and-answer session in English for the press [Operator Instructions] [Interpreted] Our first question is from the chat by Nelson [ Doring ]. We'll see the first Gripen being delivered in the 25th of March in Gaviao Peixoto. Congratulations, Bosco and the defense staff. Is Embraer going to be a part of the Gripen agreement in Colombia and other potential contracts?
Unknown Executive: [Interpreted] Thank you for your question. No, we haven't established any contracts. However, we do have a good collaboration with Saab. We are working with them to cooperate with them and if possible, to bring the assembly of these aircraft to Gaviao Peixoto because we have installed capacity, it would be good for us and for them, but we don't have any subcontracts that we have entered into yet.
Operator: [Interpreted] We have no audio from Mr. [ Nascimento ]. So our next question, again from Nelson [ Doring ] also came through the chat. How does Embraer see the landscape for raw material supply as aluminum and titanium as critical elements for engines and avionics, both for military and civil aviation.
Unknown Executive: [Interpreted] Nelson, thank you again for your question. 2026, in our calculation should be better in terms of supply when compared to 2025. There will still be some difficulties in terms of parts, but raw material is not one of the difficulties. I think as for raw materials, we are quite comfortable with the current inventory we have. And there is another item that we are monitoring quite closely to ensure not only the year's total production, but a better production of aircraft production throughout the year. So again, we are working very closely with suppliers since the beginning of the year, and we are quite positive and comfortable when it comes to aircraft delivery for 2026. So we'll try again.
Operator: [Interpreted] Next question from Mr. Nascimento for Vale Trezentos e Sessenta News.
Jesse Nascimento: [Interpreted] I do apologize for my mistake. It was something related to my own equipment. I have 3 basic questions, Francisco. The first question is whether Embraer in the period where tariffs were implemented, I know that you -- you had a meeting with the representatives of the Brazilian Foreign Relations Office in New York in an attempt to align the issue of tariffs. So this is question number one. If you want, I can ask the 2 other questions later on.
Unknown Executive: [Interpreted] When in fact, Embraer did not take direct part in that event. I mean, we just did a follow-up, but we were not there at the time. What we did was try to facilitate the event, but we didn't have any direct participation.
Jesse Nascimento: [Interpreted] And my second question is about the recent decision by the U.S. when the President was questioned by the courts that said that he couldn't charge the tariffs, that the tariffs were unconstitutional. Do you think that Embraer could try to collect the tariffs that were charged unduly? And how much more of the tariffs were charged?
Unknown Executive: [Interpreted] In terms of recovering the money paid in tariffs, we are monitoring the situation, trying to understand what our peers will do and what kind of outcome they will get from there. So then we will decide what to do. I mean, in terms of what has been paid, we already paid $80 million.
Jesse Nascimento: [Interpreted] Okay. So finally, Francisco, we see the war escalating in the world and countries trying to strengthen their defense. I mean -- and Embraer with KC and Super Tucano should fit into that scope. My question is whether Embraer is developing or thinking about developing new equipment for the defense side to probably serve some worldwide need.
Unknown Executive: [Interpreted] [indiscernible], right now, our focus is in selling our equipment. KC is a new product that was launched in 2019. And also taking this opportunity with -- I mean, sales of Super Tucano and also some of our equipment from Atech, one of our subsidiaries. But right now, there is nothing being developed at the moment.
Operator: [Interpreted] Our next question comes from the chat from Chandu Alves from Ovale. Do we know the deadlines of the RFP for 60 jets for India? How long is this process going to take? When are we going to get an answer? And who is competing for this?
Unknown Executive: [Interpreted] Right. First question. We're keeping an eye on this, but we can't control their deadlines. Of course, the clients from India are going to set their deadlines. We expect to see an RFP this year a request for proposals. This is an important step for aircraft selling because competitors will be showing their RFPs and then they will have some time to go over them. Of course, right now, we have no visibility over that. And our competitors are Lockheed Martin from the U.S. with the 630 hectare and Airbus in Europe with A400.
Operator: Our next question is from Leda Alvim, Bloomberg News.
Leda Alvim: [Interpreted] Could you please confirm the values that we have in paid tariffs for now? If you could break it down by segment, that would be useful.
Antonio Garcia: [Interpreted] Leda, this is Antonio. In total, we already paid $80 million. 85% of that is for Executive Aviation and the rest of it is for service and support. So $80 million so far is everything we've paid since April 2025. And since February '24, we went back to 0, but we still don't know what's going to happen from now on.
Operator: Next question also from the chat from Paulo Ricardo Martins with Folha de Sao Paulo.
Paulo Ricardo Martins: [Interpreted] How can the war in Iran impact Embraer? Could it jeopardize the delivery of aircraft for the Middle East?
Unknown Executive: [Interpreted] Ricardo, thank you for your question. Ricardo, thank you for your question. At the moment, we are just monitoring the situation very closely. Our main focus and #1 focus is with the people we have in the region because they are experiencing the situation day-to-day. We are they're trying to cater to their needs and the expectations of the families. We are also taking care of our suppliers, both direct and indirect in the region. And so far, we haven't seen any critical issue that could compromise our deliveries. And we are not seeing any impacts in deliveries or even short-term sales. So the focus now at the moment is just to monitor the situation so as to help us take mitigating actions in due time so that we can deliver whatever we are launching for this year.
Operator: Ladies and gentlemen, thank you very much. That concludes the Q&A session of today's conference call. And this concludes Embraer's conference call. Thank you for joining us, and have a very good day. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]